Operator: Good morning, everyone. Welcome to Shenandoah Telecommunications Second Quarter 2020 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. John Nesbett of IMS and Investor Relations for Shentel.
John Nesbett: Good morning and thank you for joining us. The purpose for today's call is to review Shentel's results for the second quarter 2020. Our results were announced in a press release distributed this morning and the presentation we'll be reviewing is included on our Investor page at our Web site, www.shentel.com. Please note that an audio replay of this call will be made available later today. The details are set forth in the press release announcing this call. With us on the call today are Chris French, President and Chief Executive Officer; Dave Heimbach, Executive Vice President and Chief Operating Officer; and Jim Volk, Senior Vice President, Finance and CFO. After our prepared remarks, we will conduct a question-and-answer session. As always, let me refer you to Slide 2 of the presentation which contains our Safe Harbor disclaimer and reminds you that this conference call may include forward-looking statements subject to certain risks and uncertainties. These may cause actual results to differ materially from the statements. Hence, I’ll provide a detailed discussion of various risk factors in our SEC filings, which you're encouraged to review. You're cautioned not to place undue reliance on these forward-looking statements. Except as required by law, we undertake no obligation to publicly update or revise any forward-looking statements. With that, I'll turn the call over to Chris now. Go ahead, Chris.
Chris French: Thanks, John. We appreciate everyone joining us this morning, and I hope everyone is healthy and safe. I’ll start by highlighting a few of the outstanding operating results we achieved during the second quarter before discussing our progress managing through significant change created by COVID-19 and the closing of the Sprint/T-Mobile merger. As reflected on Slide 4, our broadband business had a record quarter of data net additions of 6,000. To put this in perspective, we had more data net adds in the second quarter than we did in all of 2016 and 2017. And our 2020 year-to-date net adds of 9,000 exceed both 2018 and 2019’s full year results. As Dave will discuss in more detail later on the call, the strong second quarter results were driven by having the most robust broadband network in our markets and a combination of our rate card value proposition, COVID-19 stay-at-home directives, new service offerings, complementary upgrades and service that we initiated after the start of COVID-19 and Glo Fiber gaining traction. Moving to Slide 5. You see the growing cash flow generation of our businesses. Normalized free cash flow for the first six months of 2020 grew about 63% to 82 million from the same period a year ago. Wireless normalized free cash flow was 87 million for the first half of 2020. We’ve been able to redeploy the strong cash flow from wireless into our broadband business, particularly our new Glo Fiber and Beam networks, providing new platforms for growth in the next several years. I am pleased with our continued focus on execution despite the many changes that have been driven by COVID-19 and the Sprint merger with T-Mobile. Slide 6 outlines some of the relevant points regarding both. Starting with COVID-19, we began to see a phased reopening of the economies in our markets. In certain cases, governments have paused or slowed these efforts as the pandemic reversed course with infections rising again. All of our markets continue to operate under government stay-at-home and work-from-home recommendations or mandates. These developments have created strong residential broadband demand and softened demand for wireless postpaid which relies more on retail distribution. We incurred approximately 4 million in COVID-related charges and revenue credits in our wireless segment in the second quarter that Dave will expand on later in the call. I appreciate the efforts of all of our employees, especially those on the front lines interfacing directly with our customers. Turning to Sprint’s merger with T-Mobile. As we’ve discussed and disclosed in the past earnings calls, our affiliate agreement outlines the sequence of options available to T-Mobile and us. The negotiation period ended on June 30 without an agreement on a new affiliate arrangement. We are now in the second window of time that gives T-Mobile an option to purchase our PCS business. As of today, T-Mobile has not exercised their option but has until August 31 to decide to do so. Our Sprint affiliate agreement required T-Mobile to comply with certain restrictive operating requirements during the 90-day period following their network technology, brand and combination conversion notice that we received on April 1. This period also ended on June 30. Subsequently, on July 22, T-Mobile will announce its plans to begin integration of the brands, rate plans, sales and networks on August 2. The impact to Sprint customers in our affiliate area is uncertain at this point in time. We’re trying to learn more about T-Mobile’s integration plans and access the impact to our business. These integration plans are in addition to the adoption of the T-Mobile credit and collection policies that occurred in the second quarter. As previously disclosed, for the past year, we’ve had a dispute with Sprint regarding the resetting of the travel fee. After inability to negotiate a reasonable outcome, we invoked our binding arbitration rights. The arbitrators ruled in June to reset the travel fee continuing the 18 million per year for the period of 2019 to 2021. We’re pleased with the outcome and to have this issue behind us. Jim will provide more details on the dispute and merger-related operating and financial impact on our second quarter results. Lastly, T-Mobile sold the Boost prepaid business to DISH Networks on July 1st. We continue to operate the Boost business under the same economic terms as we had with Sprint. We’ve begun to collaborate with DISH on their marketing plans for this product going forward. Before turning the call over to Jim, I’d like to remind everyone of the timeline and options, as shown on Slide 7, regarding the Sprint/T-Mobile merger. As I said earlier, we are in the 60-day period that gives T-Mobile the right to exercise an option to purchase the assets of our PCS operations for 90% of the entire business value through an appraisal process as outlined in our affiliate agreement. If T-Mobile does not exercise its purchase option, Shentel would then have a 60-day period to exercise an option to purchase the legacy T-Mobile network and subscribers in our service area. If we do not exercise our purchase option, T-Mobile must then sell or decommission its legacy networking customers in our service area. With that, I’ll now turn the call over to Jim to review the details of our financial results.
Jim Volk: Thank you, Chris, and good morning, everyone. Before reviewing our financial results for the second quarter, let me first comment that we have an unusual number of non-routine and nonrecurring charges and credits in our financial results due to COVID-related actions and Sprint/T-Mobile merger developments. Slide 9 highlights the Sprint/T-Mobile merger developments and their operating and financial impacts on the second quarter results. As Chris mentioned earlier, we resolved the Sprint travel dispute through binding arbitration during June. The travel fee has reset to 18 million per year for the period 2019 to 2021. As a result, we recognized 21 million of travel revenues during the second quarter 2020 for services that we have provided since May [indiscernible]. If you recall, we recognized 6 million in travel revenue in 2019 prior to Sprint ceasing payments. Sprint paid the 21 million in July. Going forward, we will recognize and collect 1.5 million per month through the end of the three-year period. Now turning to the integration activities during the second quarter. Sprint adopted the T-Mobile credit and collection policies that shortened the timeframe by 40 days to collect past due amounts and disconnect the customer’s service. As a result, approximately 4,400 postpaid involuntary disconnects were accelerated into the second quarter subscriber results. Excluding this policy change, postpaid churn for the second quarter would have been about 20 basis points lower or 1.37%. There was no impact on bad debt during the quarter. Last week, we implemented an employee retention bonus plan after the Sprint/T-Mobile merger announcement in 2018 that was conditioned on the closing of the merger and certain other conditions. The closing of the merger now makes these payments probable, and we accrued 1.2 million in expense in the second quarter 2020 and expect to incur another 1.2 million through the end of the expected vesting period in the fourth quarter of 2021. Please now refer to Slide 10 to discuss our financial results for the second quarter. Consolidated revenues were 169.5 million in the second quarter of 2020 as compared to 158.9 million in the second quarter of 2019. Adjusted OIBDA for the quarter was 80.9 million compared to 67 million in the same period of last year. The increase in both revenue and adjusted OIBDA was primarily due to the resolution of the Sprint travel dispute in the wireless segment. Turning to Slide 11. Consolidated operating income was 43 million for the second quarter compared to 24 million in the second quarter 2019. Earnings per share for the quarter was $0.58 per diluted share compared to $0.26 per diluted share in the prior-year period. The resolution of the Sprint travel dispute and lower depreciation in the wireless segment were the primary drivers of the year-over-year growth. Turning now to our segment results on Slide 12. Our wireless operating revenues for the second quarter of 2020 increased 8.6 million to 119.7 million for the same period a year ago. The increase in revenue was due to a 19.5 million increase in Sprint travel revenue, as mentioned earlier, 1.5 million due to subscriber growth, 700,000 in higher closing and MVNO revenues, partially offset by declines of 6.9 million in equipment sales as more customers bought things online, 3.2 million due to higher amortized customer contract costs that are netted against revenues, 1.4 million in COVID-related prepaid customer retention credits and 1.2 million of COVID-related postpaid bad debt in connection with the Keep Americans Connected pledge. Second quarter 2020 adjusted OIBDA for the wireless segment increased 29.2% to 67.7 million. In addition to the revenue increase of 8.6 million, equipment cost of goods sold declined 6.3 million, advertising expense declined 2.8 million partially offset by 1.1 million in COVID-related payroll expenses, 600,000 in legal fees related to the Sprint travel dispute, 600,000 in higher operating taxes due to a nonrecurring benefit recognized in the second quarter 2019, 500,000 higher cell site rents from the expansion of our network and 400,000 employee retention bonus accrual related to the Sprint/T-Mobile merger. Moving to Slide 13. Revenue in our broadband segment grew 1.6 million or 3.3% to 50.1 million in the second quarter of 2020 driven by an increase of 2.2 million in cable residential and SMB revenue due primarily from a 16.6% increase in broadband RGUs and lower bundling discounts and promotions. Fiber enterprise and wholesale revenue grew 900,000 due to an increase in enterprise and backhaul circuits, while RLEC revenues declined 1.2 million or 20% primarily from lower government subsidy and DSL customers. Broadband adjusted OIBDA for the second quarter declined 1.9 million to 20 million from the same period a year ago. The decline was due to 1 million dilution from the launch of the Glo Fiber and 2.5 million in higher payroll costs from a combination of supplemental COVID-19 compensation expense for customer interfacing employees, an increase in benefit plans and higher incentive accrual from strong broadband operating results. On Slide 14, tower segment revenues grew 41% to 4.3 million and adjusted OIBDA grew 46.1% to 2.7 million for the second quarter of 2020 due to a 9.5% growth in tenants, a 29.3% increase in the average lease rate due to amendments to the intercompany leases. Moving to Slide 15. We ended the second quarter with 715 million in debt with an effective interest rate of 2.5%. Net leverage ratio normalized with Sprint travel revenue was 2.2x. With 218.7 million in total liquidity, growing free cash flow and no short-term material debt maturities, we are in excellent shape to continue to invest in organic and M&A opportunities. And now I’ll turn the call over to Dave.
Dave Heimbach: Thanks, Jim, and good morning, everyone. On Slide 17, we summarize in more detail the impacts of COVID-19 in our wireless segment. As Chris pointed out earlier in the call, after an abrupt closure of 40% of our Sprint branded postpaid retail stores at the end of March, we gradually reopened stores throughout the second quarter and are proud to report that substantially all locations are now open for business. However, as a result of these store closures, gross adds were down 28% from the prior-year period in the second quarter. Conversely, postpaid voluntary churn declined 23% or 28 basis points versus the prior-year period on lower porting activity industry-wide. As a Sprint affiliate, we participated in the FCC’s Keep Americans Connected pledge and suspended nonpaid disconnects relating to COVID-19. Sprint’s collections practices returned to business as usual July 1st. However, we estimate that 10 basis points of involuntary churn favorability in the second quarter will likely reverse in the third quarter. As a result, we recognized a 1.2 million contra-revenue charge in postpaid for expected bad debts related to these deferred disconnects. Additionally, we recognized $1.4 million in prepaid COVID-related revenue retention credits in the second quarter to keep Boost customers connected. Sprint discontinued this practice in June and subsequently divested the Boost business to DISH Networks on July 1st, and we look forward to working with DISH and growing the Boost business in our service area. During the second quarter, we focused on keeping our employees safe while continuing to provide our essential communication services. We incurred approximately $1 million in additional expense in the quarter for COVID-related pay to idled employees and supplemental pay for frontline wireless employees. Lastly, we reduced advertising spend by $2.8 million versus the prior-year period due to the stay-at-home directives in our markets and the soft retail store traffic from the pandemic. Turning to Slide 18. The COVID-related impacts in our broadband segment were decidedly positive as our proactive programs to introduce new prepaid plans, faster minimum speed tiers with higher data allowances and temporary relief to non-pay accounts were all very well received by our customers. As Chris noted at the start of the call, we added record growth in net broadband data RGUs in the quarter driven in part by the launch of a new 25 meg prepaid plan for $25 per month which resulted in approximately 1,000 new subs. We also realized an impressive 83-basis-point improvement in churn year-over-year driven by the ongoing operating improvements in our network, operations and new rate card with approximately 25 basis points of this improvement related to the temporary suspension of nonpaid disconnects related to COVID. With more customers sheltering in place and seeing renewed value in traditional video services, we realized our first net positive quarter in video RGUs in over five years. Lastly, we incurred approximately $400,000 for idle employees and supplemental pay benefits for frontline workers in our broadband segment in the quarter. As we turn back to wireless on Slide 19, we show the key metrics of our postpaid wireless business. We had approximately 846,400 postpaid subscribers at the end of the first quarter – sorry, second quarter. As a result of the aforementioned retail store closures in the quarter and as previously noted, postpaid growth additions for the second quarter 2020 were materially impacted versus the prior year, while the mix of phone and connected device additions shifted to a 70:30 ratio, as compared to approximately 75:25 phones to devices in the same period in the prior year. Postpaid net losses totaled approximately 1,300 in the quarter driven entirely by the steep decline in gross adds in the quarter related to COVID. However, combined postpaid churn was down year-over-year in the wake of the impact of COVID to 1.55%. As others in the industry have reported, we too saw our voluntary churn decline commensurate with the drop we saw on postpaid gross adds as overall porting activity declined in the quarter. As Jim already highlighted, as a result of the new collections policy enacted by T-Mobile in April, Sprint-branded postpaid nonpaid disconnects were accelerated by approximately one month resulting in the purge of approximately 4,400 subs in the quarter. Excluding the impact from the collection policy change, our postpaid net adds and churn would have been approximately 3001.37%, respectively. In addition, we estimate approximately 2,300 disconnects were deferred in the quarter related to Sprint’s commitment to the Keep Americans Connected pledge. We expect this will increase in voluntary churn in the third quarter by 10 basis points as these customers reenter the collections process. Postpaid ARPU declined $1.68 year-over-year driven primarily by Sprint promotional discounting and to a lesser extent, the increase in the mix of connected devices in the base. As a direct result of the pandemic, net porting results were relatively flat this quarter with a 0.97:1 ratio. Lastly, 5.7% of our postpaid base upgraded their phone in the quarter and 13.1% of the base was comprised of connected devices such as watches and tablets at the end of the second quarter. Moving to Slide 20 in our prepaid business. We had a particularly strong second quarter in spite of the pandemic. We had approximately 289,400 prepaid subscribers at the end of the second quarter with prepaid gross and net additions of just over 39,000 and 10,000, respectively. In addition, prepaid churn was down an impressive 59 basis points versus the prior-year period. Second quarter ARPU decreased $1.45 year-over-year as a result of COVID retention credits issued to boost customers during the quarter. Excluding these retention credits, prepaid ARPU would have been relatively flat with the prior year. In summary, while we faced tremendous COVID-related headwinds in our postpaid wireless business, the continued strength of our prepaid business in the second quarter resulted in the 11th consecutive quarter of combined postpaid and prepaid net wireless subscriber growth. Now turning to Slide 21 in our broadband segment. Total income in cable RGUs grew an impressive 5.2% year-over-year in the second quarter to approximately 176,000 compared to approximately 167,500 in the same period in the prior year. As Chris highlighted at the start of the call, we added roughly 6,000 net broadband RGUs in the quarter through organic growth which is a tenfold increase to the prior-year period, and we’re very pleased to report that our incumbent cable broadband penetration increased from 38.5% in the second quarter last year to 44.1% this quarter on the strength of our new broadband speeds, rate card, service improvements and increased demand related to COVID. Broadband segment data churn declined a remarkable 83 basis points to 1.32% in the second quarter, representing the 13th consecutive quarter of year-over-year churn improvement. Average revenue per customer decreased slightly versus the prior year to $121.38 driven by temporary reductions to revenue as a result of COVID-19-related actions. Temporary increases in data allowances, minimum speed increases to 50 megabits per second at no charge, the introduction of a limited time offer of the 25 meg prepaid Internet plan previously mentioned and the reduction to late payment and reconnect fees all contributed to the year-over-year decrease. Substantially, all homes now passed in our cable markets are capable of broadband speeds of up to 1 gig per second with approximately two-thirds of our residential base in the upgraded areas having migrated to the new PowerHouse-branded rate card. This time last year, roughly half of residential subscribers were on rate plans at 10 megabits per second or less. Now 71% of subscribers are on plans at 25 megabits per second or higher, with an average subscribed download speed of 72 megabits per second, well out of the reach of our DSL competitors. As evidenced by our strong results and increasing penetration and reducing churn over the last several quarters, we are achieving our goal of constructing an even deeper competitive moat in the incumbent cable markets we serve. Turning to Slide 22. We continue to gain momentum with our new fiber to the home edge-out strategy called Glo Fiber. Glo had 1,331 customers at the end of the second quarter with a total 10.1% penetration rate comprised of 1,954 total RGUS. In some of our most mature neighborhoods in Harrisonburg, Virginia, our first market launched, we’re already seeing penetration rates approaching 40% which exceeds our terminal penetration rate objective. We are particularly proud of the relative lack of churn we’re seeing in our most strategic product in the bundle, high speed Internet, with only 0.67% churn in the quarter. Approximately, 34% of new Glo fiber high-speed Internet subs are electing the 1 gig tier which retails for $90 per month, including whole home WiFi which is contributing to stronger than planned data ARPU. Our streaming TV and voice services continue to exceed expectations with 31% and 16% attachment rates, respectively. Meanwhile, fiber construction efforts in our first four markets are progressing very well and also exceeded our expectations in the quarter in spite of concerns related to COVID-19. Approximately 7,800 new residential and small business passings were released to sales in the quarter with a total of 13,173 Glo Fiber passings at the end of the second quarter. We expect to have approximately 25,000 total new passings released to sales by the end of the year. On Slide 23, we have depicted our fiber and cable footprint including the table to summarize our progress in each Glo Fiber market. Total passings approved to build has increased by over 10,000 within our seven initial markets as we continue to fine-tune our construction modeling efforts. As a result, Glo Fiber’s total approved passings across all seven franchise approved markets now stands at 87,517. We continue to invest aggressively in market expansion efforts in our region and expect this number to continue to grow as we progress in our franchising negotiations in other neighboring communities. We also continue to make great progress toward our goal of launching a new fixed wireless broadband offering in the second half of 2020 targeting roughly 300,000 rural households across portions of Virginia, West Virginia and Southeastern Ohio, leveraging the 2.5 gigahertz license spectrum we acquired in 2019. We now have active beta customers on the new fixed wireless network and have validated speeds of up to 100 megabits per second download, far exceeding offers by DSL, satellite and WISP competitors in these uncabled areas of our spectrum footprint. We’ll continue to update you on status of both our Glo Fiber and fixed wireless initiatives as we progress in our build plans and launch of commercial services over the several quarters. Turning to Slide 24. We added two new small cells in the second quarter 2020, bringing total towers and small cells to 228, with total tenants increasing 9.5% year-over-year to 413. We had a backlog of 112 open orders related to upgrades of existing tenants or the addition of new tenants at the end of June 2020. Finally, Slide 25 provides an update to our 2020 capital spending results. Capital expenditures were $66.6 million for the second quarter of 2020 compared to $79.1 million at the end of the second quarter in 2019. The $12.5 million decrease in capital expenditures was primarily due to a $30 million decline in wireless spending as the nTelos and Parkersburg network expansions were completed in the first half of 2019 and planned Richmond Sliver territory expansion projects have been deferred as we await further clarity on our futures and affiliate of the new T-Mobile. We are confirming our updated guidance on capital spending from the first quarter between $125 million and $148 million with substantially all of the reduction to prior guidance reflected in our wireless segment. However, as we noted last quarter, with our strong liquidity and cash flow generation, we continue to invest aggressively in our broadband and fiber networks despite the pandemic induced economic uncertainty in our current operating environment. Thank you very much. And operator, we’re now ready to take questions.
Operator: [Operator Instructions]. And our first question comes from the line of Ric Prentiss with Raymond James. Your line is now open.
Ric Prentiss: Thanks. Good morning, guys.
Chris French: Good morning, Ric.
Dave Heimbach: Hi, Ric. Hi. Hope you and your family employees continue to stay safe and well during the COVID-19 timeframe.
Chris French: Likewise. A lot of moving pieces here obviously on a busy earnings day. I want to unpack maybe in a couple of areas. First, on all the COVID-19 call-outs as far as different line items, did you guys adjust EBITDA to remove the COVID-19 impacts or does EBITDA really affect the full brunt of COVID-19?
Jim Volk: Yes. Ric, we did not remove them. So it does – OIBDA does include the full impact. And is it possible to kind of summarize by wireless and broadband what kind of the total magnitude of puts and takes on COVID-19 impact on EBITDA was? Because some companies are calling out, here’s how much we spent on – here’s how much COVID-19 impacted us within the quarter. And then also maybe as we think going forward, the third quarter and fourth quarter, where you think those different cost levels might be?
Jim Volk: Yes. Ric, on the wireless side, it was just about $4 million between incremental expenses and retention credits and bad debt expenses and the like hit into the second quarter numbers. On the broadband side, I’m going to say that number was closer to 1 million. As far as for future impacts, I think the bad debt expense really – I think we’ve taken the accrual. I don’t expect it to get any worse and it should come down in future periods on that side. Lot of the programs that we had for supplemental paper, our employees who are customer interfacing, some of that is being phased out as we speak, so that should be lower going forward as well. Okay. And then obviously, the elephant in the room is still the relationship with T-Mobile. Can you update us as far as how active the discussions are? Obviously, August 2nd is not very far away as far as them removing the Sprint brand. And do you need to then increase advertising until a decision is made?
Dave Heimbach: Yes, Ric, the discussions continue to be active and constructive. So we’re in routine and active dialogue with our friends in Bellevue. So increasing advertising in lieu of the integration plans, we’re fairly sure that in the short term, we’re not expecting any major negative impacts. We expect to have access to the new rate plans that they’ve announced, we’ll be able to sell those in our Sprint-branded stores and so forth. And we’re evaluating our longer-term plans in terms of potential advertising changes or other changes we might need to make in lieu of their integration plans, but nothing to announce at this time. All right. And one final one just on that process. When you consider the 90% of entire business value if first option is chosen that they exercised their option to buy your wireless business, how does comps play into it? Is there a need to look at USM, T-Mobile with the Sprint purchase price? How do kind of comps play into that discussion on the valuation of EBD?
Chris French: Jim, you want to take that one?
Jim Volk: Yes. Ric, we think as an affiliate, we should be – the best precedent transactions are looking back at other affiliate transactions. Now I know a lot of them have not been recent, but there was a dozen or so. As you are well aware – and you covered these companies back in 2005 through 2010, between Sprint affiliates and Nextel affiliates that I think are a good comp for our program. U.S. Cellular, you mentioned, is a regional player. They’re not tied to a national company. Their expenses are going to be higher. Their growth is lower as a result, not being affiliated with a national brand. Great. Well, good luck and continue – best wishes, you, your family, employees as we make a go at these turbulent times.
Chris French: Thanks, Ric.
Dave Heimbach: Thanks, Ric.
Jim Volk: Same to you, Ric.
Operator: Thank you. [Operator Instructions]. And our next question comes from the line of Hamed Khorsand with BWS Financial. Your line is now open.
Hamed Khorsand: Hi. Good morning. Could you talk about the Boost relationship? Did you need to do like a side deal with them? And how did that kind of spill over into the T-Mobile negotiations?
Dave Heimbach: Yes. Hamed, this is Dave. I’ll start and then ask Jim to bolt-on here. But in terms of how that works, our prepaid and postpaid business are contemplated in their entirety in the affiliate agreement with now T-Mobile, previously Sprint, of course. And we’re in active dialogue with the folks at DISH and actively supporting their efforts to market and sell the Boost brand in our regions. So they really haven’t – they haven’t factored in. We don’t have any side deals or anything of that regard. Jim, anything else you want to add to that?
Jim Volk: Yes. No, our economic relationship is the same as it was before the sale. Okay. And then could you elaborate on your port ratio dropping below 1? I think it’s the first time in a very long time it’s done that?
Chris French: It is. It is the first time in a very long time. And I think it’s entirely COVID-related. Candidly, porting activity was down across the board, as you know. And we didn’t see any material change in the competitive landscape or environment in the quarter. It was just a totally abnormal quarter on pretty much every level on the postpaid front and was most notably impacted despite the reduction to retail store traffic and retail store closures. Okay. My last question was the new programs are being in place for the promotions. So those are lower rate cards than what you’re used to. Are you required to advertise those and how is that going to impact ARPU? Are you able to mitigate some of the downward pressure?
Chris French: On the broadband side? On the broadband side and also on the wireless side with the T-Mobile promotions that they’ve implemented?
Chris French: Yes. So on broadband, the activities that we undertook as a result of the pandemic really all expired with the start of the third quarter here. So we gave temporary relief to non-pay subs. We’ve enumerated the expected impact there. It’s only about 700 subs potential. And we did offer a new prepaid plan. It’s 1,000 subs at $25 a month, but that rate card or rate plan will expire here shortly as we revamp our overall prepaid broadband rate card and set of offerings. And the way we’re handling the temporary speed increase is those are expiring as well, and then we’re inviting customers to retain that speed for a modest upcharge or to go back to their old speed. And the temporary relief that we offered in terms of data allowances, we’re actually going to allow to – customers to retain those. And as we’ve seen a significant uptick, as you might expect, on traffic. And so as we expect that to normalize over time, in addition to the new unlimited great plan that we introduced in terms of our data tiers, we feel as though on overage charges and the like will be net neutral on revenue from where we expect it to be this year. So that’s a long way around the barn to say that we’re not expecting any long-term impacts as a result of the actions we took or the discounting that we offered. And to the contrary, based on the strong subscriber growth we’ve seen in addition to normalizing some of these temporary activities, we think we’ll see a pretty good uptick in the future on pricing. In postpaid, we – as you know, we elect to leverage Sprint and now T-Mobile’s national rate card. And so we’re not entirely in charge of how we moderate or mitigate any impacts from any decisions they decide to make in terms of discounts or adjustments and the like. That’s why we noted those in the quarter.
Jim Volk: And one thing to add on the wireless side. The service plans that T-Mobile is launching next week are more aggressive than what we’ve seen previously with Sprint. But on the flip side, the handset offers actually have changed recently and there’s less service discounts that we are providing starting in July on that side. So I think the two things are going to offset each other as we go forward. All right. I appreciate that. Thank you.
Chris French: Thank you.
Operator: Thank you. [Operator Instructions]. I’m not showing any further questions at this time. So this does conclude today’s question-and-answer session. I would now like to turn the call back to Jim Volk for closing remarks.
Jim Volk: I’d like to thank everyone again for joining our call this morning. There’s a lot going on. We will keep you posted as things progress, and I hope everybody stays safe and healthy. Thanks, everyone.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.